Operator: Welcome to the Plexus Corp. conference call regarding its third fiscal quarter 2008 earnings announcement. (Operator Instructions) I would now like to turn the call over to Angelo Ninivaggi, Plexus' Vice President, General Counsel and Secretary.
Angelo Ninivaggi: Before we begin, I would like to establish that statements made during this conference call that are not historical in nature are forward-looking statements. Forward-looking statements are not guarantees since there are inherent difficulties in predicting future results and actual results could differ materially from those expressed or implied in the forward-looking statements. For a list of major factors that could cause actual results to differ materially from those projected, please refer to the company's periodic SEC filings, particularly the risk factors in our most recent Form10-Q filing. The company provides non-GAAP supplemental information, including earnings and EPS, excluding restructuring costs, charges for the impairment of goodwill, and other long-lived assets, and adjustments to the valuation allowance on deferred tax assets. The company also provides supplemental information on return on invested capital, in comparisons excluding our large, unnamed defense customer. For a full reconciliation of non-GAAP supplemental information, please refer to yesterday's press release and our periodic SEC filings. Joining me this morning are Dean Foate, President and Chief Executive Officer, and Ginger Jones, Vice President and Chief Financial Officer. We will begin today's call with Dean making some comments about the third quarter and the outlook for Q4. Ginger will follow up with details on financials. We will then open the call up for questions. Please limit your questions to one question and one follow-up. Let me now turn the call over to Dean Foate.
Dean Foate: Last night we reported results for our third fiscal quarter of 2008. Revenues were at $456 million with GAAP EPS of $0.41. Revenues surpassed our guidance range while earnings were at the high end of our guidance range. Third quarter revenues grew a modest 1% sequentially from our second fiscal quarter. Our Wireline/Networking sector and our Medical sectors were stronger than anticipated and offset modest weakness in our Industrial/Commercial sector and the significant, but anticipated, $26.0 million reduction in revenue from our large, episodic defense program. It is important to note that excluding the episodic defense program, revenue grew a very healthy 7.3% sequentially from Q2 to Q3. Now for a few details about our revenues by market sector in the third quarter and our outlook for the fourth quarter. Our Wireline/Networking sector experienced strong 12% sequential growth in our third fiscal quarter, even better than our expectations for solid performance as six of our top ten customers beat earlier forecasts. We currently expect high single-digit growth in our Wireline/Networking sector in the fourth quarter, although we currently expect mixed performance among our leading accounts. Our Wireless Infrastructure sector was down modestly this quarter, in line with expectations. We currently expect strong performance in Q4 as a couple of customers are indicating improved, but perhaps lumpy, demand. Our Medical sector performed much better than our expectations in the third quarter as our largest Medical accounts beat earlier forecasts. This sector’s revenue is up about 8% sequentially. Earlier forecasts indicated revenues would be flat to a modest sequential decline. We currently anticipate that our Medical sector will be down sequential in Q4, in the mid-single-digit percentage range due to inventory build at two larger accounts. The overall performance of our Industrial/Commercial sector was a little softer than expected, down approximately 3% sequentially in Q3. Examining the top 15 customers, the demand bodice was clearly soft as 9 of the 15 missed earlier forecasts. Looking ahead to Q4 we currently anticipate flat-to-modest growth. Revenues in our Defense/Security/Aerospace sector declined sharply in Q3, down 43%, as expected, driven by a $26.0 million sequential reduction in revenue from our previously large, but still episodic, defense account. The revenue for this account was just under $1.0 million in Q3. Looking to our fourth quarter, we currently expect sequential revenue growth with approximately 26% for a Defense/Security/Aerospace sector due to strength from three of our key accounts, including our episodic defense account. As you may recall, in our June 17 Investor Day press release we announced that we received follow-on purchase order for approximately $5.0 million of additional production for this account that we expected to produce and ship during Q4 and that we were aware of potential, but unconfirmed, orders of approximately $17.0 million of additional product. Now, having reviewed that history, here’s the latest for our episodic defense account. We now anticipate that we will produce and ship approximately $3.0 million of product in Q4 of fiscal 2008. Looking ahead to fiscal 2009, we have approximately $25.0 million of revenue included in our full-year forecast. $19.0 million of the forecast is confirmed purchase orders, the balance is high probability follow-on orders. Turning now to new business wins. We won 15 significant new manufacturing programs, which in the aggregate will add approximately $108.0 million of annualized incremental revenue as they ramp in production, primarily during fiscal 2009. 11 of the 15 programs increased our share with current customers, including some incremental business for our facility in Mexico. The balance of the manufacturing wins with new accounts targeted by our sector teams. Our overall funnel of manufacturing opportunities continue to be strong, at just under $1.8 billion of qualified new business. Our funnel is nicely balanced across our targeted market sectors. On the engineering services front we won approximately $17.0 million of engineering services business in the quarter with about 80% of the total in our Medical sector. Overall demand for engineering services has held up well over the last few quarters. While opportunities continue to exist in the near term, it appears customers are more closely watching their R&D spend as they enter the second half of calendar 2008. We are a little cautious as we have seen a few programs delayed or canceled. Addressing capacity utilization and global growth: As expected, our adds to capacity utilization was at a healthy level in Q3 at approximately 82% overall. As we look forward, we continue to anticipate further investments and adjustments to our global footprint. As part of our strategic planning process our sector teams help our operating leaders plan and project the future needs of global capacity and capabilities to support our customers’ needs over the next several years. The value proposition of each our sites undergoes healthy scrutiny so that we can make proactive investments and adjustments to our foot print. The outcome of this process is evident by recent announcements. First, in the U.S., we recently announced that our San Jose-area facility would relocate to a larger facility, and we showcased our expanded Chicago-area facility at our Investor Day in June. We are also pleased to report that our Boise facility has attained ISO 1340-5 certification to support the growth of medical products manufacturing. Demand for certain services in the U.S. remains high and all of our U.S. sites are currently achieving high marks for execution and financial performance. However, in light of the longer-term trends in our business, we are carefully evaluating the longer-term viability of each U.S. location. Second, in Mexico: While our Mexico facility has struggled to achieve our financial objective in recent years, for reasons that we have covered previously, the site has since significantly enhanced its capabilities and improved its execution. Our sector teams are increasingly confident that the long-term value proposition of this site is strategically important to our customer base as evidenced by recent program wins and in improving new business development funnel. Third, in Asia: Our previously announced capacity additions in Panang, Malaysia, and Xiamen, China, continue to track according to plans and we are evaluating further capacity investments in China, which we hope to announce soon. Finally, in Europe: We are making progress on our strategic assessment of market entry alternatives in Central and Eastern Europe and we hope to add clarity to this effort in the coming fiscal year. Turning now to our guidance: We currently expect our fiscal 2008 fourth quarter revenue to be in the range of $470.0 million to $490.0 million with EPS, excluding any restructuring charges, in the range of $0.42 to $0.46, which includes approximately $0.05 per share of stock-based compensation expense. In summary, our revenue guidance for Q4 is up approximately 5% sequentially at the midpoint, which we currently anticipate will be primarily driven by continuing strength in our Wireline/Networking sector, a lumpy uptick in our Wireless sector, and growth in our Defense/Security/Aerospace sector, offsetting what currently appears to be a one-quarter pullback in demand in our Medical sector. Our fourth quarter revenue guidance implies that our full-fiscal-year revenue for 2008, which is all organic, will exceed 19% of the midpoint of our guidance, which would be an outstanding result in a challenging macro economic environment. With that, I would like to turn the call over to Ginger to discuss the numbers in further detail.
Ginger Jones: As Dean mentioned earlier in the call, revenue was slightly above the top end of our guidance range and EPS was at the top end of the range. These results were consistent with the 20-10-5 financial model, a 20% ROIC target, 10% gross margin target, and our 5% operating margin target. Drilling a little deeper into these results, gross margin was slightly higher than our expectations, at 10.7% for the quarter. This improvement was a result of an improvement in the mix of customers and programs during the quarter and good results for our engineering services business. Gross margin for the quarter was down from the 11.4% gross margin in the second quarter of 2008. This decline was expected and was primarily the result of reduced revenue from our large, episodic defense program. As we had expected, SG&A costs increased from the prior quarter. There were two items that impacted our spending during the third quarter. First, we recorded an allowance for cancelled accounts for a customer that declared bankruptcy during the third quarter. This allowance increased SG&A by approximately $1.3 million, or approximately $0.03 of EPS. This expense was offset by stock-based compensation expense that was approximately $900,000, or $0.02 of EPS, lower than we expected, as a result of forfeitures that were recorded during the quarter. These forfeitures were the result of stock options issued to employees that expired or were forfeited during the third quarter. The total of these two items led to SG&A expense being approximately $0.01 of EPS higher than our expectations during the quarter. Excluding these two items, SG&A expense increased from approximately $24.0 million in the second fiscal quarter to approximately $26.0 million in the third quarter. This was consistent with our guidance and reflects investments in our market-sector based business development engine, variable incentive compensation, and continued investments to support our plan growth. Moving on to the balance sheet and cash flow: The cash conversion cycle increased during the quarter, up 8 days compared to the second fiscal quarter cash-cycle days of 60 days and a few days higher than our expectation. As you saw in the press release, days in receivables increased by 2 days to 48 days. Days in receivables were unusually low at 46 days last quarter based on the timing of payments from some major customers and have returned to what we believe are more normal levels. Days in inventory increased 5 days to 77 days. There were three factors that drove the increased inventory levels. First, continued increases in inventory levels for some customers to enhance their flexibility and to support Direct Order Fulfillment programs. Second, inventories put in place for several new programs that did not ship during in the quarter, resulting in higher inventory levels than planned. And lastly, inventory to support our continued revenue growth in the fourth quarter of 2008. And then finally, accounts payables days decreased by 1 day to 57 days. We are mindful of these significant investments in working capital and are always trying to improve them, but we also recognize that without the right inventory we are not able to grow with our customers, support new business models like Direct Order Fulfillment, or launch new programs. Including these additional investments in working capital, ROIC for the quarter was strong at 21%, above the targeted 20% from our 20-10-5 model and well above our weighted average cost of capital. We continue to believe that ROIC is the most important single measure of our business as it reflects both our performance on the income statement and the investments on the balance sheet. Free cash flow for the quarter was approximately $(9.0) million with year-to-date positive free cash flow of approximately $26.0 million. We announced a financial recapitalization on February 25 that included a 200 million share repurchase authorization and $150.0 of new long-term debt. I am pleased to announce that we have completed this recapitalization plan. We discuss the recapitalization in detail on the last call, so today I will spend a few minutes on the conclusion to this plan. First, on the share repurchase authorization, we have completed a share repurchase of $200.0 million, or approximately 20% of our market capitalization at the time of the announcement. This repurchase was completed at an average price of $26.87. $100.0 million of this was under an accelerated share repurchase program that was completed in April 2008 resulting in the repurchase of 3.8 million shares at an average price of $26.51. The remaining $100.0 million open-market share repurchase was completed earlier this month and resulted in a repurchase of 3.7 million shares at an average price of $27.25. Moving on to the long-term debt, the unsecured credit facilities were completed and funded on April 4th, which included $150.0 million of long-term debt. Along with this debt, we renewed our existing $100.0 million line of revolving credit. This credit availability can be increased by an additional $100.0 million in revolving credit under certain circumstances. There are currently no borrowings under the revolving line of credit. The interest rate on the long-term debt has been fixed for the entire term, using interest rate swaps at a blended rate of 5.7%. Through this financial recapitalization, I feel that we have created an efficient capital structure with a reasonable level of debt, at favorable interest rates. Importantly, we also believe that we have adequate cash and liquidity to fund our ongoing growth plans. Moving on to the guidance, I would like to give you a few further comments on our financial model for the fourth quarter of 2008. Gross margins are expected to be slightly lower than the gross margin of the third quarter, based on our forecasted customer mix, but still at a level slightly above our 10% gross margin target. This is down from the higher margins in the first half of fiscal 2008. As we’ve discussed many times, [inaudible] with a large concentration of bargains with our large, episodic defense program had a positive impact on gross margins. Depreciation expense is expected to be approximately $8.0 million in Q4, up from $7.4 million in Q3. SG&A for the fourth quarter of 2008 will be in the range of $26.5 million to $27 million. The tax rate for fiscal 2008 is projected to remain at 20%. I will remind everyone that this rate will continue to vary based on the mix of forecasted earning between taxing jurisdictions. Earnings in our Asian locations benefit from negotiated tax holidays in both Malaysia and China, while U.S. earnings are taxed at a full 38% federal and state tax rate. This [inaudible] tax rate means that relatively minor changes in the earnings forecast can result in large swings in the tax rate. Our expectations for the balance sheet are for cash cycle days to remain in the range of 66-68 days. The capital spending projection for fiscal 2008 has increased to $55.0 million to $60.0 million. This increase is a result of investments in the fourth quarter to support growth and includes capital to complete the fit-out of our third facility in Panang, Malaysia. When we acquired this building we had three separate blocks of manufacturing space that we have been finishing with required infrastructure, such as flooring, IT, and electrical infrastructure, and other investments to support manufacturing as we needed it. These investments in the fourth quarter will mean that all of the manufacturing space in this facility will now be ready. We expect to generate free cash flow in fiscal 2008 in the range of $10.0 million to $15.0 million. I am not planning to talk in any detail about our FY2009 expectations on this call. We are working hard now to finalize our FY2009 annual plan. But I would like to share some high-level comments as you think about the 20-10-5 financial model. As we discussed in our Investor Day on June 18th, we believe that the best way to create value for shareholders is through continued strong revenue growth and by delivering our 20-10-5 model. We are carefully balancing our existing customers, new programs, and investments to support growth while delivering that financial model. So, my first point is we do not believe the gross margins will increase in the future and the more likely trend in the near term is downward back to the 10% in our model. Second, SG&A is currently above the 5% target in our financial model. We are mindfully making investments in people, processes, and tools to support our growth targets. Our objective is to leverage these investments and return SG&A spending closer to our 5% target in the second half of fiscal 2009. In the near term we would expect cash cycle days to remain in the range of 66-68 days. And lastly, I would remind everyone that the first quarter of our fiscal year, the December quarter, generally has higher fixed costs in cost of goods sold and SG&A as we give wage increases to our North American employees. With that I will turn the call back to Angelo.
Angelo Ninivaggi: We will open the call for questions.
Operator: (Operator Instructions) Your first question comes from Brian White with Collins Stewart.
Brian White - Collins Stewart: When we look at the medical market, it showed very nice upside. I think at the analyst day that the comments weren’t overly bullish there, so what surprised you and are some of the FDA issues and reimbursement concerns behind the medical area?
Dean Foate: First let me address the second part of your question, which is related to the FDA and the reimbursements. The FDA issue that was plaguing one of our key customers in now behind us so we are seeing production back to kind of a normal pattern of production. It’s hard to say whether or not the demand is going to return to what it would have been had they never had that FDA-related issue. On the reimbursement side of things, there hasn’t, to my knowledge, been any change and that still is going to be a challenge for manufacturers of imaging-related products. What happened in the quarter with key customers I think it’s just a situation where some of our customers were maybe a little too conservative in their forecasts that they gave us. They had a little more success in the quarter than originally anticipated and some improved demand. In looking forward, we expect it to pull back a little bit. Not to the level that we saw in Q2, if my memory serves me correct, but we will see maybe perhaps a 4% to 5% pull back and then we’ll be back to, hopefully, sequential growth here as we come into 2009.
Brian White - Collins Stewart: And just on the defense area, you said $3.0 million of the episodic program in the fourth quarter, $25.0 potentially in 2009, so how is that going to play out in 2009? Is it front-end loaded, back-end loaded, linear?
Dean Foate: At this point we’re still trying to nail down the whole production plan for the year but it’s safe to say that it’s going to be more front-end loaded and we’ll see probably the bulk of that in the first couple quarters of the year.
Operator: Your next question comes from Shawn Harrison with Longbow Research.
Shawn Harrison - Longbow Research : Just maybe a two-part question, the program wins, if you can kind of break that out by end market.
Dean Foate: It was pretty strong in our Wireline sector, we had 4 of the wins in that sector. 3 of the wins were in our Medical sector, and then the 4 and 3, respectively, Industrial/Commercial and Defense/Security/Aerospace. So a pretty balanced result, at least in quantity. In terms of the revenue, I would say the bigger programs were won in Medical and in Industrial/Commercial.
Shawn Harrison - Longbow Research : And on that Medical business, just getting back to the prior question, the inventory, is it more tied with imaging customers, or where is it concentrated?
Dean Foate: In terms of the ?
Shawn Harrison - Longbow Research : The inventory. I guess your customers built and it’s kind of affecting demand here going into the fourth quarter.
Dean Foate: No, it’s not really related to imaging product. It’s different product technologies.
Shawn Harrison - Longbow Research : And my follow-up is just on Mexico. I don’t think the performance of the business was stated here in the quarter, and I guess just still how far are we, in terms of revenues, away from break-even?
Dean Foate: I’m going to turn this to Ginger, but I did mention that one of the wins here that we announced did go into the medical facility so we’re feeling pretty good about coming close there. And also we’ve been taking a good look at the funnel of opportunities for 2009 and we’re seeing, probably the funnel, specifically for Mexico now, has come up above $100.0 million, about what I would say would be, you know, opportunities that we have a good shot at for fiscal 2009, and then we actually have some visibility to some opportunities for 2010 here as well. I’ll let Ginger speak a little bit about the economics of the facility at this point.
Ginger Jones: So we had a loss in the third quarter in our Mexico facility and we are currently forecasting a loss in the fourth quarter as well. But we are encouraged by that improvement to the pipeline. The third quarter revenue was at a run rate of $80.0 million. And we’ve talked often that around $100.0 million is where we have break-even opportunity. So I think we have good visibility to break even in 2009, based on our current pipeline.
Shawn Harrison - Longbow Research : And the loss in Q3 is maybe similar to what you saw in the second quarter?
Ginger Jones: The loss in the third quarter was $1.0 million, slightly above the $710,000 we saw in Q2.
Shawn Harrison - Longbow Research : That $710,000 contained some inventory gains, right?
Ginger Jones: It did. And we did not have as much of those in the third quarter so that’s more of a steady, operational result for that site for that quarter.
Operator: Your next question comes from Alex Blanton of Ingalls & Snyder.
Alex Blanton - Ingalls & Snyder: I wanted to ask you a question about the overall environment. If you look at what it was for you, say, nine months ago, at the end of calendar 2007, compared with today, and taking into account the entire world, faster growth in emerging countries, and demand from those countries, possible shift of interest in customers in getting closer to the market because of logistics costs, and a higher logistics cost and higher freight costs, and possibly lower demand in the U.S. because of the recession here, how would you characterize the overall environment for your business as compared to nine months ago? Is it better, or worse, or the same?
Dean Foate: I think that the short answer is it’s the same from an overall kind of health, I would say, but different for all the reasons that you just talked about. Certainly the cost of transportational logistics has gone up. That is impacting some customers’ thought process and they’re becoming more focused on the total cost of fulfillment. So this is why we feel so strongly about the need to improve our performance in Mexico and why we think it’s going to be strategically important to us. You may be surprised to hear it because of the challenges we’ve had down there, that we would anticipate at some point in our future, having to actually add capacity either in Juarez or in another location in another location in Mexico to support what we see over the next 3-5 years. So that’s a characteristic, also, that sort of what I call the movement toward instant gratification. In other words, customers wanting highly-configured product delivered quickly to their end-market customers and if those end-market customers are in the U.S., Mexico, particularly a border facility is important for that. In terms of what’s going on around the globe, one of the challenges for us, because we have such a high mix of product that we manufacture and because still a significant amount of it is sub-assembly manufacturing, it’s difficult for us to really have an accurate assessment of where all that product is consumed around the world. Now, we have certainly some customers that we build finished product and it’s directly into the end-market and there’s no question that elements of the global market place are providing a significant demand for some of those customers and if the global market, you know, the rest of the world, has a pull back we’re likely to feel that, of course, because our customers would feel it. But overall it’s interesting that times of economic stress can also create opportunities for companies that perform well. So in my opinion, the good performers, the ones that have a really strong focus on their market place, have really got their company aligned to support that market place with supply chain value add such as we have, you know, with the financial model, on a global basis can really compete and gain share with incremental outsourcing and program wins. And I think that has really the key to our success, is just growing in spite of the difficult macro economic conditions because customers are, with the demand that they have, they’re looking to align that demand with the best performers and we’re benefiting from that.
Alex Blanton - Ingalls & Snyder: That’s usually the case. In recessions the better companies gain market share from the weaker ones. The second part of the question has to do with cost increases. Have you had any problems at all in passing along the cost increases, which have been more than the usual amount, I characterize them as accelerating, passing them along to customers? And have you had any impact on your earnings as a result of a lag in passing those costs along?
Dean Foate: First let me say, part of the way to keep costs down when it’s a logistics issue is to change the point of manufacture or the integrated manufacturing solution between areas of geographies. So we have worked with customers to contain that cost by making those changes to the overall fulfillment model. Secondly, we’re not a high-energy consuming company so that hasn’t a material impact to us at this point. The business runs on pretty much a cost-plus model and cost of labor, cost of material, those sort of adjustments do get reflected in our costs and get passed along to the customers through the quarterly business review process. It can be challenging but at this point we really haven’t had significant challenges. And interestingly enough, most components that we buy, at this point we have not seen significant increases in component costs. Component costs have been fairly stable. I think the offset of demand versus the increase may be in raw materials for some of those parts has kind of balanced itself off. Although we are seeing, with sheet metal, steel, some of those sort of things, you’re starting to see some cost increases roll into those kind of products. But it hasn’t been a material impact to us overall, at this point.
Alex Blanton - Ingalls & Snyder: Boards? Bare boards?
Dean Foate: Bare board fabs. I just read the report and for us it’s been pretty stable.
Alex Blanton - Ingalls & Snyder: So you haven’t had any problem passing this along in a timely basis, is what I mean? There hasn’t been any lag so there’s an effect on margins?
Dean Foate: There’s always a lag in how you pass it along and there’s always a lag, too, in when you have cost reductions in the supply chain, when you pass those along. So they balance out. Right now we don’t project any meaningful impact to our results as we go forward.
Alex Blanton - Ingalls & Snyder: So what you’re saying is the lag is the same as it was before so there hasn’t been any overall change.
Dean Foate: Correct.
Operator: Your next question comes from Jim Suva with Citi Investment Research.
Jim Suva - Citi Investment Research: Can you first of all give a quick housekeeping item? For the full year of 2008 now, what would have been the amount of the episodic defense revenues? That way we can at least compare it to about $25.0 million for 2009? And as you’re looking up that number, maybe could you talk about how important is the election this year coming up, depending upon who wins, is there a chance that this $25.0 million could be upsided or $25.0 million is what it is, or does that impact or change the probabilities of this segment?
Ginger Jones: I’ll take the easy part of that question, which is the revenue for that episodic defense business was a total of $90.0 million for 2008 and you can compare that to the $25.0 million we’re currently projecting in our forecasting for 2009.
Dean Foate: Now related to the election cycle. You know, Jim, at this point I don’t know, it would be a kind of wild speculation on my part to really suggest that the election is going to have impact on it one way or the other. Of the $25.0 million, I think I said $19.0 million was backed on hard purchase orders. So that’s going to happen. We wouldn’t have put the rest of it in the forecast if we didn’t think it was high probability and would happen. Beyond that, I think we continue to see the opportunity with that technology as episodic and something we really don’t think the analyst should plan for, based on any kind of rumors in the market place or anything else, until we actually give specific guidance on it. And I have no idea what is going to happen for global demand for that product. There’s other things beyond the election. I mean, there’s competitive products in the market place, on and on, that could impact the demand for that technology.
Jim Suva - Citi Investment Research: The medical, when you talk about alleviative inventory build there from your customers, does this impact your engineering services in the Medical segment or are those two completely unrelated?
Dean Foate: They’re unrelated in this case. In fact, engineering had a really good quarter winning new Medical business. I guess that 80% of the new wins were in the Medical sector, so it’s been quite strong. Part of the inventory build, one was with a customer that, essentially, was overly enthusiastic about what they could sell in the market place. Another part of the inventory build actually was something that we did collectively with a customer as a decision was made through the quarter to actually transition some business from one of our facilities to another, so it was a hedge against the start up of production in Asia as we transferred some of the manufacturing.
Operator: Your next question comes from William Stein with Credit Suisse.
William Stein - Credit Suisse : I just wanted to address the gross margin. Ginger, I think you suggested that would be down sequentially. I’m a little bit confused given the return of the episodic defense customer. I would think that would have an outsized beneficial effect on the gross margin.
Ginger Jones: There’s only $3.0 million of it in the fourth quarter so it’s only up $2.0 million. And, frankly, that’s just not enough to move gross margin substantially. And we have other changes in mix in our programs and customers for the fourth quarter that’s going to bring that gross margin down.
William Stein - Credit Suisse : And the interest expense line. Can you give us an idea for what the total interest in other is expected to be maybe in the coming quarter and then if you can give us some color on that in fiscal 2009?
Ginger Jones: Interest expense for the quarter was $2.3 million. I think it’s going to be fairly consistent with that going forward. That’s got a full burden of our debt in the third quarter because we took out that debt on April 4th. So I would guess that would be a pretty good starting point for you model as you think about Q4 and 2009 as well.
Operator: Your next question comes from Kevin Kessel with JP Morgan.
Kevin Kessel - JP Morgan : I just wanted to follow up on your comments that you made regarding Mexico. Ginger, I think you said that you lost $1.0 million in the quarter and you’re expecting a loss as well in the fourth quarter but encouraged by the pipeline and what you’re seeing there. At this point would you say that the loss in the fourth quarter would be at the same level or do you think it would be somewhat reduced? And then you guys have mentioned in the past that you had won a fairly large program that was slated to go to Mexico at some point in early fiscal 2009, maybe late fiscal 2008. I’m just wondering if that’s still on schedule because it sounded like the size, in and of itself, could be enough to kind of get the revenue run rate to break even.
Ginger Jones: Yes, on to the earnings or loss, we expect a similar loss in the fourth quarter, so my guess would be a loss of about $1.0 million in the fourth quarter. We do have a new customer who is ramping up there and that ramp is starting now and so we are seeing the benefit of that already on the revenue line and we expect to see that help us get toward that break-even in FY2009.
Kevin Kessel - JP Morgan : When you look at what you said about Malaysia, the additional CapEx to complete the third bay, should we expect then that that new site in Malaysia will be essentially full from a production point of view at some point during fiscal 2009 and you would need at some point to think about even further expansion there?
Dean Foate: I don’t think that we will likely, well I should be very careful on this because we are making a modest addition to one of the facilities over in Malaysia, but I don’t think that we’ll make another big debt, at least on the island of Panang, out on the time horizon. Our focus right now is to get some balance to that capacity in China.
Ginger Jones: And, Kevin, I would just add, we have finished off that third manufacturing bay but I don’t think it will be completely full in FY2009. We are going to work once the shell is complete and it’s ready for manufacturing, we’ll begin moving equipment and customers in there, as we need it, during 2009.
Kevin Kessel - JP Morgan : When you mentioned the new wins, you said 15 new wins, I didn’t hear that any of them were in the Wireless area. It seemed like every sector but Wireless. Is that correct?
Dean Foate: If I didn’t say that I should have. There was one in Wireless. A pretty modest size.
Kevin Kessel - JP Morgan : Is there a way to flush out what you had said about the engineering cancellations and push outs that you guys have seen recently? Are customers communicating to you the reasons that they’re doing this? Are they saying it’s macro economic concerns on their part or is it that they’re seeing demand strain and as a result pulling back?
Dean Foate: It’s a couple of things, and certainly a part of it is cautiousness, tightening the belt and essentially canceling or delaying programs is a way to tighten the belt. I don’t want to throw out the red flag yet, I was really trying to throw out a caution flag in that is a little bit of a change that we have seen as we kind of moved through this quarter. We had quite strong demand in the first half of the year and it has softened. I’m not convinced that it’s going to hurt us, yet. I think that if we just redouble our efforts on our Go To Market strategy that we can bring in some other opportunities and get them closed. Steve Frisch, who runs the engineering business, might think differently but I think that there’s plenty of opportunity in the pipeline so it’s not that customers are not talking about programs and opportunities. There still are a lot of them, a very healthy pipeline. It’s just that the ones we had closed or thought we were going to close here in the near term, a couple of those did not come to fruition so we’re a little bit cautious.
Kevin Kessel - JP Morgan : How should we think about concentration with your largest customer? Obviously there was some good success in the quarter. In the past you guys have kind of mentioned in trying to keep it below a 25%ish level, but it sounds like you’re having a lot of success in a new program win side in Wireline so I have to assume that there could be theoretically be more upward pressure there. Can you help us understand how we should kind of think about it? Was this quarter an aberration or will it kind of stay at these levels?
Dean Foate: My opinion right now is that we had a particularly strong quarter and it was a bit of an aberration and it will come back to a more normalized level, 19% to 21%, and kind of bounce around in that range as we move through fiscal 2009 unless we’re wildly successful in getting out of the program. But we hope to grow fast enough to continue to gain share with Juniper, with other business.
Operator: Your next question comes from Steven Fox with Merrill Lynch.
Steven Fox - Merrill Lynch : First of all, I think you mentioned your as full capacity was up to 80% and you’re looking for some higher revenue growth next quarter. Seems like it’s kind of getting tight for this type of business and I was curious about any other risks that you run, other inefficiencies, as it gets this high and how do you plan on managing it for the time being?
Dean Foate: We do target 80% or so as a healthy percentage. We can go up as high as 100% at a facility and it doesn’t become so much of an efficiency hit as it becomes a problem to go and win new business. Customers like to come in and see some white space so they know that you can take on their product. So that is why the CapEx spend is out there, why we’re configuring the third bay in the big facility over in Malaysia, it’s why we’re putting a modest expansion on to another facility over there, it’s why we’re talking about expansion in Mexico. And frankly, why we made some modest expansions to some of our U.S. facilities, as well. So we’re trying to stay ahead of it and I think we’ll be fine from an execution standpoint in the near term.
Steven Fox - Merrill Lynch : And on the Industrial segment, you mentioned that a decent amount of your customers struggled during the quarter relative to their forecasts but you’re still looking for it to grow a little bit sequentially this quarter and it’s had some problems in the last year. I guess just trying to get a better feel for why you think that this wasn’t the beginning of maybe sort of slower growth trends for those customers, what you’re seeing in terms of in demand as well as new programs?
Dean Foate: I would characterize in market demand for most of the customers, as I said, it clearly added a bit of negative bias during the quarter and it’s not like there’s a super-strong demand out there. I think growth that we would project and the growth that we are seeing with the accounts here is more a consequence of winning new business, taking share away from some of our competitors, getting in front of some new product launches that had been slated for competitors, and essentially growing the business. And that I think maybe the overall economic situation is dampening demand for kind of existing programs with many of these accounts. But at the same time I think we can continue to grow it, assuming the bottom doesn’t fall, out by incremental program wins.
Operator: Your next question comes from Amit Daryanani with RBC Capital Markets.
Amit Daryanani - RBC Capital Markets: You were talking about evaluating the long-term viability of the U.S. size up. Maybe I’m reading too much into it especially due to the fact you have added to the capacity there, but just given the macro economic environment, is that an indication of maybe potentially to consolidate some of these sites in North America?
Dean Foate: What I want to be very clear that all of our facilities in the United States are performing very well to our financial goals and are executing very well on behalf of our customers. I think what we have done at Plexus, is I think that we have gotten ourselves to the point were we are not playing defense, that we’re playing offense. And we have very much improved our strategic planning process. It has become more market-sector oriented. We utilize our market sector teams to really represent the voice of the customer and help guide us in terms of what do we need for capacity, capabilities, whether they’re technical or regulatory, around the globe. What are the longer trends in each one of these market sectors, so that we can make the right decisions in terms of growth of capacity or consolidation capacity around the globe. And as we look forward we believe that we are going to see, or are seeing maybe, a bit of a renaissance in terms of the nature of manufacturing for electronic products here in the United States, that we’re going to see a shift toward higher level product assembly for fulfillment into the end markets in North America. Some of it’s going to be highly regulated product. But I think the days of lots of board-level assembly are perhaps gone and perhaps the notion of super-close proximity to the customers has been on a slow take. So having said that, what we’re saying is that anything that we would do, we would like to do it in a position of strength and as part of strategy as opposed to waiting until we have a facility that is hurting and then have to take sort of defensive action to course correct. So we haven’t made any decisions. It’s part of our strategic planning process, but I wanted to signal that an outcome of this could be that we need further capacity in the U.S. to support mecatronics and higher level assembly and perhaps that we have a location that doesn’t fit the model or the trends over the next two to three years, five years out in the future.
Amit Daryanani - RBC Capital Markets: When we look at the Medical segment, could you talk about why the inventory correction may just be a one-quarter event and not a multiple-quarter event?
Dean Foate: With one of them it was kind of self-inflicted because we are transferring a program from one of our locations to another. So we built up inventory in order to create a buffer there to support the transfer. So we know with one of the customers that there was not a market-driven build up but more of an operational build up of their inventory. So we’ll see that come down and normalize in the prior couple of quarters. And I don’t want to get too much into what’s going to happen out in 2009 but right now we feel pretty good about growth of our Medical accounts in 2009 as a consequence of program wins and of the funnel. And our Medical team has done a great job on positioning us well with some of these customers and we hope to get the fruits of all that effort on their behalf here in the coming year.
Amit Daryanani - RBC Capital Markets: Ginger, when you were talking about fiscal 2009 you talked about margins that are turning back close to 10%. I’m curious, is part of the reason why you expect this big degradation is we’re maybe sacrificing margins to get higher revenue growth for the model? So maybe going after a little bit more higher volume business, even though the ROIC is there the margins will degrade a bit?
Ginger Jones: I’m not sure that would be a significant part of it. I think there’s a couple of trends that we see, one of which is we’re continuing to add capacity in new regions. We talked about that this morning. We’ll continue to do some of that as we hopefully put some new footprint up in China. That is going to have a short-term drag on our gross margins as we put that capacity in place and we haven’t completely filled it yet so that’s a little bit of a timing issue. We also have a mix of business. It’s possible we’ll see more of our business moving to Asia and that has some changes to our gross margin. So I don’t know that I see it as being a change in the business we’re accepting but more a change in how we’re continuing to build capacity to support future growth.
Dean Foate: I’ll also comment a little bit on the SG&A line in that we have talked about the growth in China, the opportunities to develop end-market customers in Asia. We also talked extensively about our desire to expand into Europe. Part of that, of course, is the manufacturing capacity but also part of it is the Go To Market teams that you need in place to work with customers and develop customers in those market places. So as you expand the business, unfortunately, some of these costs are not linear and you need to have maybe a little bit of a step up in terms of costs for some resources and then you need to grow into some of those costs. So, no alarm bells going off here. It’s really just a part of carefully managing the growth of the business and trying to gain access to some new markets and to have the capacity in place to support development of those markets.
Operator: Your next question comes from Sherri Scribner with Deutsche Bank.
Sherri Scribner - Deutsche Bank Securities: I just wanted to get a little more clarity on the share buyback for the full year. Clearly you’ve done the full $200.0 million in cash and I think you said the average price was $26.87 for the full $200.0 million. Where does that leave you in terms of how many shares you bought back? I’m estimating around 7.5 million, is that roughly right?
Ginger Jones: Yes, that’s 7.5 million. Two traunches, 3.8 million in the first traunch, and 3.7 in the second traunch.
Sherri Scribner - Deutsche Bank Securities: So when I look at the overall share count as we move into fiscal 2009, what number would you assume for fiscal 2009 as we work through all this share buyback?
Ginger Jones: I think that’s going to be somewhere in the range of 40 million shares outstanding.
Sherri Scribner - Deutsche Bank Securities: In terms of the CapEx, I know you’re not giving guidance for fiscal 2009 but you took the CapEx guidance up for fiscal 2008, directionally do you expect that CapEx will go up in fiscal 2009 with these further expansion plans? What are you thinking there?
Ginger Jones: I think directionally it will be up. We’re not ready to give a final number yet but I think it would certainly be modestly above the $55 million to $60 million.
Operator: Your next question comes from Reik Read with Robert W. Baird & Co.
Reik Read - Robert W. Baird & Co., Inc. : I know that you’ve talked about that you really haven’t seen much in the way of macro weakness but as you go forward and if you were to see some of that, what are the segments that have, in your view, the most sensitivity to it? Is it the Industrial, maybe the Wireless, and then the Wireline and Medical and Defense are relatively less impacted?
Dean Foate: I think that’s right. I don’t know that I could disagree with you on that. I think that that probably is the way that we would see it. The thing is that our business is quite diversified in each one of these end market verticals and you have customers in each one of them that have perhaps some relative stability, even in times of economic situations because of the unique niche that they occupy in the market place. So it’s kind of hard to generalize to the market sector so I don’t know if I could give any further insight into that other than the breakdown you just listed.
Reik Read - Robert W. Baird & Co., Inc. : And on the Mexico side of things, as you do put more of that volume through and those losses further dissipate, do you anticipate those going to the bottom line or is there some reinvestment? How should we think of that from a modeling perspective?
Ginger Jones: We talked a little about that on Investor Day. Certainly we hope to get our Mexico site back to not only break-even but profitability and back to a normal level of Plexus profitability but at the same time we are also going to be making investments in other regions to support future growth, so I don’t see a significant impact to our 20-10-5. Because we’re managing all those pieces, bringing Mexico back to profitability and new investments to continue to deliver the 10-5 portion of that plan.
Reik Read - Robert W. Baird & Co., Inc. : So this is just a mechanism that allows you to make more investments than you otherwise could?
Dean Foate: That’s correct. Beside the fact that it just bugs tremendously that we don’t make profit down there because we like to make profits. We have to make profits down there so we can expand the business and support the model.
Operator: We have a follow-up question from Kevin Kessel with JP Morgan.
Kevin Kessel - JP Morgan : I wanted to clarify the Industrial. So the Industrial sector I think you said had lower than expected demand this quarter but you do still expect it to grow this upcoming quarter, either from taking share from competitors or winning new business that scheduled to ramp from the existing business you already have in Industrial
Dean Foate: First, let me caution you not to get too enthusiastic here because we expect it grow in Q4 but it’s going to be pretty modest. So flat to up is the way I would characterize it and the growth at this point is a consequence of more recent program wins that we’re still fulfilling products and gaining share. It’ not really any sort of real improvement in end-market demand. Other than we do see one of our capital equipment guys having a better quarter coming up, very modestly, however.
Kevin Kessel - JP Morgan : And, Ginger, on the cancelled accounts that was taken in the quarter for the customer that went bankrupt. Do you foresee any further risks from other customers that might be in similar situations and was that a full reserve for that customer?
Ginger Jones: Yes, that was a full reserve. I don’t think it indicates any more weakness in our customer base. I think it was an isolated situation. We had one customer that was in a startup phase. And it was pretty early on in their life with us.
Kevin Kessel - JP Morgan : And sense some collectibility. You took the reserve but does it look a real long shot?
Ginger Jones: I think it’s a pretty long shot. There’s a possibility some components of that business will be sold at some point in the future which may generate some return for unsecured creditors but I think that would be a pretty long shot.
Kevin Kessel - JP Morgan : And I assume all the inventory that was held, it was all proprietary, in other words, it can’t be lost amongst other customers?
Ginger Jones: That’s correct.
Operator: We have no further questions.
Dean Foate: Thank everyone for joining us this morning and thanks to the analysts and shareholders for supporting Plexus. I would also like to pass along to any of the Plexus folks that are listening today my thanks. This is a challenging economic environment and we’re having what appears to be a very good year and I want to thank everyone for their efforts and hard work throughout the year to make Plexus the best in the world at serving customers.